Operator: Good day, and thank you for standing by. Welcome to CommScope’s 2023 Full Year and Fourth Quarter Results Conference Call. At this time all participants are in listen-only mode. [Operator Instructions] Please be advised today’s conference is being recorded. I would like to hand the conference over to your speaker today, Massimo DiSabato, Vice President of Investor Relations. Please go ahead.
Massimo Disabato: Good morning, and thank you for joining us today to discuss CommScope’s 2023 full year and fourth quarter results. I’m Massimo Disabato, Vice President of Investor Relations for CommScope, and with me on today’s call are Chuck Treadway, President and CEO; and Kyle Lorentzen, Executive Vice President and CFO. You can find the slides that accompany this report on our Investor Relations website. Please note that some of our comments today will contain forward-looking statements based on our current view of the business, and actual – future results may differ materially. Please see our recent SEC filings, which identify the principal risks and uncertainties that could affect future performance. Before I turn the call over to Chuck, I have a few housekeeping items to review. Today, we will discuss certain adjusted and non-GAAP financial measures, which are described in more detail in this morning’s earnings materials. Reconciliations of non-GAAP financial measures and other associated disclosures are contained in our earnings materials and posted on our website. All references during today’s discussion will be to our adjusted results. All full year and quarterly growth rates described during today’s presentation are on a year-over-year basis unless otherwise noted. I’ll now turn the call over to our President and CEO, Chuck Treadway.
Chuck Treadway: Thank you, Massimo. Good morning, everyone. I’ll be beginning on Slide 2. Before getting into details of our quarter, I want to address the current state of our business and changes since our last call. The business continues to be under significant pressure as demand remains low. We continue to have minimal visibility to when a recovery will occur. During the quarter, we also experienced unexpected significant downward pressure in our NICS and ANS businesses. We are now in a position where all of our segments are dealing with market demand challenges. Although we have seen some slight uptick in demand in our OWN and CCS segments. We expect a very difficult first half and specifically first quarter. We expect the first quarter revenue and adjusted EBITDA to be substantially lower than the fourth quarter of 2023. Starting with annual results, Core CommScope delivered net sales of $5.79 billion, decreasing 23% from the prior year. The decline in revenue resulted in Core adjusted EBITDA of $1.02 billion, a decrease of 18% from the prior year, meeting our previously provided $1.00 billion to $1.05 billion Core adjusted EBITDA range provided on our last call. Shifting to the fourth quarter. CommScope delivered Core net sales of $1.86 billion and Core adjusted EBITDA of $199 million for the fourth quarter of 2023. Our fourth quarter continued to be impacted by lower customer orders driven by lower market demand and larger-than-expected customer inventory buildup. As I’ve mentioned in past calls, we continue to control what we can control. We are the market leader in most of our businesses with capacity in place to meet expected future demand. This capacity as well as our new product offerings positions us well for when the demand does recover. In addition, as referenced in our third quarter call, we are managing our cost structure, including a plan to take out $100 million of annual cost. Now, I’d like to give you an update on each of our businesses. As we indicated in previous calls, CCS has strong long-term market tailwinds, including significant spending commitments expected to start late in 2024 and into 2025 driven by continued build-out of fiber networks and data centers. We have seen some small, but inconsistent upticks in order rates in some product lines as customers are reaching normalized inventory levels. I don’t think we’re ready to declare this as the beginning of a recovery, but these small indicators give us some evidence of a potentially stronger second half of 2024 and return to growth. As we turn our focus to helping our customers meet their objectives of connecting the United States with reliable broadband connectivity, we have developed a series of products and solutions focused on rural broadband architectures meeting the needs of Build America, Buy America requirements or otherwise known as BABA. Outside of the broadband investments, we are also encouraged by developments in our building and data center portion of our CCS business supporting our enterprise customers. As you are aware, significant momentum is occurring on the cloud and AI side of data centers. We have also seen a boost in our hyperscale and cloud business as a result supporting investments in GenAI projects with key customers. As we invest in new products and technologies, we are well positioned to take advantage of growth in this market. We have also found some new momentum with our innovation of our SYSTIMAX 2.0 structured cable solutions, offering new products for in-building solutions. In CCS, we continue to be aggressive with our cost structure, we are looking at additional opportunities to drive efficiency. There is still value that we can drive on the cost side. We remain bullish on CCS as a result of the long-term market tailwinds and our strong position in this market. CCS will recover. It’s just a matter of timing and degree. Turning to NICS. The business had a standout year even after the slower-than-predicted fourth quarter. The team worked extremely hard to introduce new products and solutions to the market. The RUCKUS team was one of the first to market the new Wi-Fi 7 enterprise-grade access point, and nearly doubled the attach rate of our RUCKUS One and RUCKUS AI solutions. Our full year 2023 adjusted EBITDA in NICS of $225 million is up $173 million over prior year. Our CommScope NEXT initiatives program has supported the improvement in this business. We are not done as we continue to evaluate every aspect of this business for incremental opportunities, including investing in the next generation of product solutions and SaaS. Our RUCKUS One suite and Wi-Fi 7 enterprise class access point products are also contributing to the new technology refresh that is in the early phases. Our NICS business was also supported by the strong ICM performance led by the DAS business providing in-building 5G connectivity. With that said, our NICS segment and specifically RUCKUS is under substantial short-term pressure as demand significantly declined in the last quarter, driven by too much inventory in the system and slower demand. The level of this demand adjustment is much more severe than what we had expected and our leading indicators identified. Although our funnel remains strong, purchasing decisions are being pushed to future periods. We expect the lower demand will continue throughout the first half of this year as inventories adjusted and demand drivers reset. The results of the reduced demand for RUCKUS product will be a key contributor to our overall sequential decline from the fourth quarter of 2023 to the first quarter of 2024. In OWN, as we mentioned in previous calls, 2023 saw a decline in U.S. carrier capital spend. As with CCS, visibility remains limited. During the fourth quarter and early in the first quarter, we have seen some slight recovery in order rates. We are not calling this a recovery, but it is a start. Based on our conversations with customers, 2024 will continue to be a challenging year. We would expect that 2024 will look similar to what we saw in 2023, but with a stronger second half of the year. Again, as previously stated, we continue to focus on what we can control and we’ll be ready to support our customers when they are ready. In addition, we continue to develop and commercialize new products. We have discussed the MOSAIC antenna solution in the past and are seeing increased traction around the world. We have also introduced our new seed base station antenna solution aimed at delivering 15% greater efficiency at a fixed power level. Again, like we are in CCS, we are well positioned in the market and feel like we will benefit when the market recovers. Finishing with ANS, as we’ve discussed, in 2023, this segment has made a successful transition to a leading supplier of edge-related products, including nodes, amplifiers, RPD and RMD modules and remote OLTs for node pump. We have done this while continuing to support our large installed base of CMTS products across multiple architectures. We introduced the first FDX amplifier, made headway with our virtual CMTS solution and paid the transitional path to DOCSIS 4.0 architecture. We also launched our DOCSIS 3.1 Enhanced solution, enabling operators to offer services between 5 gigabits and 8 gigabits per second through the use of new in-home DOCSIS CPE, along with enhanced E6000 software. We are bullish on DOCSIS 4.0 upgrades, and we will likely see increased momentum in the latter part of 2024. On both DOCSIS 3.1E and Virtual CMTS, we have trials underway with major MSOs. However, in the quarter, as expected, our customers were faced with larger-than-expected inventory and adjusted shipments to rightsize their inventory. In addition, some of our customers have announced slower-than-expected ramps on their DOCSIS 4.0 upgrade projects. As a result of these two issues, order rates and revenues will be negatively impacted in the first few quarters. This impact will be a key contributor to our overall sequential decline from the fourth quarter of 2023 and to the first quarter of 2024. We understand that our message is not ideal as we navigate through the challenging market conditions and capital structure. We are well positioned for a market recovery and a recovery will occur. The timing and intensity of that recovery continues to be uncertain. Although we are in regular dialogue with our customers and evaluate market data and projections, understanding demand drivers has been difficult for us and our competitors. In most cases, projections have been incorrect. The uncertainty is not optimal as we continue to manage cash and capital structure, and we will continue to control what we can. And with that, I’d like to turn things over to Kyle to talk more about our fourth quarter results.
Kyle Lorentzen: Thank you, Chuck, and good morning, everyone. I’ll start with an overview of our full year 2023 results on Slide 3. For the full year, consolidated CommScope reported net sales of $5.79 billion, a decrease of 23% from the prior year. This performance was driven by a decline in all businesses with the exception of NICS. It should be noted that due to the Home transaction, Home is now being reported as discontinued operations. Consolidated adjusted EBITDA of $999 million decreased 18% from the prior year. Adjusted EBITDA declined for the full year across all segments with exception of NICS. Adjusted earnings per share of $0.64 decreased by 61% from the prior year. As a result of our annual goodwill impairment testing, we recorded $145.4 million impairment charge during the fourth quarter, which is excluded from the adjusted earnings per share calculation. For the full year, Core CommScope reported net sales of $5.79 billion, a decrease of 23% from the prior year. The net sales decline was led by a significant year-over-year decrease in CCS followed by OWN and ANS while partially offset by growth in NICS. Core adjusted EBITDA for the full year was $1.02 billion, a decrease of 18% from the prior year and with our expected range for the full year 2023 that we provided in our third quarter call. Similar to net sales, Core adjusted EBITDA decline was driven by decreases in CCS, OWN and ANS while being partially offset by an increase in NICS. Now turning to Slide 4. For the fourth quarter, consolidated CommScope reported net sales of $1.186 billion, a decrease of 38% from the prior year, driven by declines in all segments. Adjusted EBITDA of $191 million decreased by 49%. Adjusted EPS was negative $0.02 per share. We experienced lower revenue driven by our customers continuing to manage inventory and overall lower market demand. Customers continue to manage their capital spend including pushing out some network upgrades. For Core CommScope, net sales of $1.186 billion declined 38% from the prior year and adjusted EBITDA of $199 million decreased to 48%. As we have experienced lower orders, Core CommScope backlog continued to decrease and ended the quarter at $1.152 billion, a decrease of 26% versus the end of the third quarter. In all of our businesses, we are back to normalized backlog levels. As a result of the normalized backlogs, order rates are going to be the direct driver of revenue as we move into 2024. Turning now to our fourth quarter segment highlights on Slide 5. Starting with CCS, net sales of $556 million decreased 42% from the prior year. CCS adjusted EBITDA of $84 million was a decrease of 55% from the prior year, driven primarily by the drop in revenue. We saw some slight increases in order rates during the quarter. However, these order rates still remain low relative to historical levels. Although CCS customer conversations remain bullish on medium- and long-term growth, the short-term demand profile remains very uncertain. Based on current visibility, we expect to see lower CCS EBITDA in the first quarter of 2024 that we realized in the fourth quarter of 2023. NICS net sales of $217 million decreased by 25% versus the fourth quarter of 2022. From a business unit perspective, RUCKUS led the way decreasing 35% and ICN decreased 6%. NICS adjusted EBITDA of $29 million decreased 48% from the prior year, $27 million change primarily driven by the decline in RUCKUS revenue. The NICS segment full year 2023 adjusted EBITDA is $225 million, an improvement of $173 million versus prior year. In RUCKUS, as we have worked through supply chain constraints and release product out of backlog, order rates have declined as channel partners digest inventory. This is a temporary situation, and we expect order rates to return in the second half of 2024. All of our other leading indicators point to continued strong demand for our products, however, customers are pushing demand out. Based on latest market information, the RUCKUS market will decline in 2024. We are excited about our continued product development specifically our RUCKUS One and Wi-Fi 7 products. We feel that we are well positioned to continue to take market share in the medium and long term. Overall, in NICS, we expect significant pressure on adjusted EBITDA in the first quarter of 2024 versus the fourth quarter of 2023. However, we are expecting a recovery in the second half of 2024 as the market digests inventory built in the second and third quarters of 2023. OWN net sales of $183 million decreased 40% from the prior year and across the majority of the business units. Similar to CCS, customers indicated a stronger second half that did not materialize. Demand in this segment remained soft with limited visibility. Customers continue to limit new builds and are working down inflated inventories. Although we have aggressively managed costs, OWN adjusted EBITDA of $31 million declined 24% from the prior year. Recall, in the fourth quarter of 2022, we had a $21 million bad debt charge related to one specific OWN customer. In early 2024, we have seen some pickup in OWN order rates. We expect first quarter revenue and adjusted EBITDA to be in line with fourth quarter 2023. ANS net sales of $231 million decreased 38% from the prior year due to customer inventory adjustment and project delays. ANS adjusted EBITDA of $54 million was down $41 million or 43% from the prior year driven by lower revenue. As mentioned on previous calls, several of our large customers approached us about lowering order rates as they dealt with higher inventory levels and delayed timing on upgrades. This had an impact on our fourth quarter revenues. Also, we expect these adjustments to have a significant impact on the first half of 2024. Despite the short-term challenges, ANS continues to position itself to take advantage of the DOCSIS 4.0 upgrade cycle. We are the only supplier that can supply all the products from amplifiers, nodes, modules and CMTS, including virtual CMTS. Finally, during the quarter, we made progress on the divestiture of our home business to Vantiva that finalized in early January 2024. We feel this combination best positions the business for success in a challenging market. We feel this is the best outcome for our customers and shareholders. Our ownership position in Vantiva will allow us to take advantage of the combined scale of the two businesses as well as the substantial synergies the combination will deliver. Home net sales were $294 million declining 25% from the prior year, essentially across all business units, driven by customer inventory adjustments and lower demand. Home adjusted EBITDA of negative $46 million decreased from negative $5 million versus prior year as a result of a onetime charge related to the sale. Turning to Slide 6 for an update on cash flow. During the quarter, we generated cash from operations of $60 million. We continue to reduce inventory. As previously discussed, we are still holding excess inventory driven by the supply chain constraints in 2021 and 2022 as revenue declines, it delays our ability to monetize this excess inventory. Despite the revenue and EBITDA challenges, we delivered 2023 adjusted free cash flow of $382 million, which was above the $300 million – the $350 million range provided on the third quarter earnings call. Based on the lack of visibility, we are not providing cash flow guideposts. I would highlight that historically, first quarter is a quarter with significant use of cash driven by a high cash interest payment quarter and incentive payouts. This, coupled with our lower EBITDA is going to result in a significant use of cash in the first quarter. Turning to Slide 7 for an update on our liquidity and capital structure. During the fourth quarter, our cash and liquidity remained strong. We ended the quarter with $544 million in global cash and total available cash and liquidity of over $1.2 billion. During the quarter, we increased our cash balance by $25 million. We did not draw on our ABL revolver during the fourth quarter and therefore, ended the quarter with no outstanding balance. It should be noted that we lost approximately $125 million of liquidity on our ABL with the Home in early 2024. In the fourth quarter, we continued to execute our debt buyback program and repurchased $106 million of our long-term debt for cash considerations of $51 million. To add more detail, we repurchased $52 million of the 8.25% senior notes due 2027 and $54 million of the 7.125% senior notes in 2028. Since the beginning of 2023, we have repurchased $217 million of debt. During the quarter, we also paid the required $8 million of term loan amortization. The company ended the quarter with net leverage ratio of 8.0. Going forward, we intend to use cash opportunistically to buy back securities across the breadth of our capital structure. I’m now turning to Slide 8, where I will conclude my prepared remarks with some commentary around our expectations for 2024. Based on the lack of visibility to a market recovery, we are not providing updated annual guide posts. Our current order rates remain historically low as we are dealing with lower market demand. Visibility to the first quarter indicates a very difficult quarter from a revenue, adjusted EBITDA and cash perspective. ANS continues to be challenged as many of our large customers are adjusting inventory and delaying upgrades. NICS saw a significant reset of demand from our channel partners as we release backlog in the middle of 2023. Although we expect some impact of the RUCKUS backlog release, the magnitude and length of this adjustment was unexpected. Our leading indicators continue to point to strong demand for RUCKUS products. However, customers are pushing out this demand more aggressively than we have seen in the past. All of our businesses are dealing with depressed demand. As a result of these challenges, our first quarter adjusted EBITDA will be in the $100 million to $125 million range. Based on conversations with customers, we expect to see a revenue pickup in the second half of the year. We have seen some increase in CCS and OWN order rates. Although it is too early to determine the staying power of these increases, it does provide some indication that demand may be returning. To state the obvious, however, if we don’t see a meaningful recovery in the second half, we should be prepared for 2024 adjusted EBITDA and cash flow to be significantly lower than 2023 adjusted EBITDA and cash flow. In summary, we are in a passive telecom, cable and hardware recession. As mentioned previously, the challenge with the current position is the lack of visibility. Even despite some visibility into customer inventories, customer short-term build plans remain uncertain. The market will recover, the question remains when and at what level. We are still bullish on medium- and long-term growth. However, short-term challenges are significant. We continue to control what we can control, including implementing the $100 million of annual cost reductions discussed on our prior call. With this cost action and the cost actions we have already taken, on recovery of the demand, we should be well positioned to drive strong profitability. Finally, I would like to address our capital structure and specifically our upcoming maturities. We continue to evaluate alternatives including asset sales to address the 2025 maturity. In previous calls, we have discussed divestitures as potential elements of our plans to address our capital structure. We formulated those plans before it became apparent how deep the industry recession was going to be. Not surprisingly, given the negative market implications on near-term revenue and profit of our potential divestiture candidates as well as the negative financial impacts on certain potential strategic buyers, we have not thus far been successful in achieving valuations that make sense to us. While there are some continuing divestiture discussions, there is no guarantee that we can transact at values that make sense. Our businesses have strong market positions, and we do not intend to sell assets on the cheap [ph]. Our credit agreement documents are very flexible. We will use this flexibility to optimize our capital structure, including dealing with the 2025 maturity. For today’s call, we will not be making further comments with respect to our capital structure. However, we will provide updates as appropriate. And with that, I’d like to give the floor back to Chuck for some closing remarks.
Chuck Treadway: Thank you, Kyle. As mentioned, we are faced with significant challenges as all of our markets have not cooperated and the visibility to the timing of the recovery is limited. We are not alone as the entire industry is facing similar challenges. Although we continue to manage what we can control and aggressively manage costs, it is not enough to fully offset the market challenges we are experiencing. Although we are bullish on a recovery, it is a matter of when and how much. We are well positioned for the expected recovery as we are a leader in most of our businesses and have invested in future growth with capacity and new products. However, the longer the demand remains low, the more challenges we face. We have optimism that the second half of 2024 will show some meaningful recovery. The uptick in the CCS and OWN order rates early in 2024 is a positive trend toward that recovery. With that said, we just can’t predict with any confidence when a recovery will occur. In addition to managing the businesses, we are acutely aware of our capital structure and liquidity. We will continue to work on managing these aggressively. We appreciate your continued support and patience. And with that, we’ll now open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Samik Chatterjee with JPMorgan. Your line is open. 
Unidentified Analyst: Hi guys, thank you for taking my question. This is MP [ph] on for Samik Chatterjee. Can you please dig deep into the issues that you’re seeing in NICS business, particularly like are the delay purchasing decisions being delayed relative to some key customers or it’s a broad-based trend across all the customers? And what leads you to believe in a recovery in second half of the year? Thank you. And I have a follow-up.
Chuck Treadway: Yes. I would say it’s broad-based. And when you talk about the NICS business overall, just a little bit of color. Although we don’t like the way the year finished, even with the challenges we had over the last two years, that the NICS EBITDA has grown from negative $15 million to plus $240 million, and we believe we’ve gained share over this time, and we believe we’re well positioned to continue to gain share in the future. I think what really happened is we underestimated the impact of the channel inventories. And again, to be specific to your question, I think it was across the board. And this, coupled with, I would say, macro uncertainty is really when the supply chain constraints reversed, we were able to ship out all of our – we would ship out a major part of our backlog. And I think that inventory buildup in the channel is what’s affecting us right now. When we look at our leading indicators, like our funnel, they remain strong, and – but we do see that orders are being pushed out, if we think two to three quarters. And I would say that we do expect the second half balance because of what we are seeing in our funnel as well as indications from our customers with channel inventory.
Unidentified Analyst: Thank you. My follow-up is regarding BEAD funding. So can you please let us know like for any government programs like these, how much of the – how much of the percentage of spending is – awards are like spend towards the equipment or product categories that you serve? And how material can it be in terms of recovery that you guys expect? Thank you. 
Chuck Treadway: Yes. Well, I’ll start with what’s going on with BEADs as the states are starting to award money. We are expecting to see spending started late in 2024, but a significant pickup in 2025. I think it’s important to note that we will be compliant with all of the BABA rules when that turns back on. And we think about a total available market for us. We’re calling it like about $4 billion, and I’d say that’s over like a four year to five year period.
Operator: Thank you. One moment for our next question. Our next question comes from George Notter with Jefferies. Your line is open.
George Notter: Hi guys. Thanks very much. I wanted to ask about the ANS business. I think in the monologue, you mentioned that some significant customers who come forward and I think, either pushed orders or demonstrated softness in terms of their pacing of network upgrades. Is that something that’s new from you guys in the last few months? Or is that something that you’re already seeing stay in Q3 or the early part of Q4?
Chuck Treadway: I would say we got real indications of that, and we got the orders pushed out in the fourth quarter of last year. So that’s when it really started happening. We had – as Kyle mentioned, I think, in his remarks that we got contacted by customers that said they wanted to push out. Obviously, for us, that business is dependent on upgrades. And what we can see is that the customers are leaning forward with upgrades, but it’s just they’re expecting to start getting more product from us in the second half of the year is what they’re talking about to us. And one of the positive pieces for us in that business is the FDX product line that we expect to start seeing significant shipments in the second half of this year.
George Notter: Got it. Okay. And then anything you can say about the vCore products progress there with customers, trials, anything to report?
Chuck Treadway: We have several trials going on with our Virtual CMTS product. Hopefully, we’ll have some more positive news on our next earnings call on that.
George Notter: Got it. Okay. And then the last question was just on input costs. If you look at the business balances there, are you seeing any benefits on input costs? Any kind of incremental benefits there would be great.
Kyle Lorentzen: Yes. I think just in general, as you can imagine, things are – things go up and down, and we buy lots of material and inputs. I think generally across the board. We haven’t seen either a significant increase or any reduction since we saw the sort of the big spike as we went through 2022. I think we’ve mentioned on previous calls, the one input cost that’s come down since down is great a little bit. But I think generally, other than that, most of the materials are on a net basis, probably pretty neutral.
George Notter: Okay, great. I’ll pass it on. Thanks, guys.
Kyle Lorentzen: Thank you. 
Chuck Treadway: Thank you. 
Operator: Our next question comes from Simon Leopold with Raymond James. Your line is open. 
Victor Chiu: Hey guys this is Victor Chiu for Simon Leopold. I wanted to follow-up on the NICS results this quarter. Just maybe can you help us understand how we should think about normalized growth when we kind of look past the inventory adjusted, this growth come back to 2022, 2023 levels? And given the deterioration in your visibility and indicators here, kind of what gives you confidence that the structural kind of demand remains intact here?
Chuck Treadway: Yes. I would start with our structural demand and why we believe that stays intact, and that’s because of our funnel. And we have a lot of projects there. We have a closed one list that we keep track of. We continue to win projects. So we feel good about that. If you look at the Dell’Oro report, I think they’re calling out for a lower 2024. But if you think back going forward, if you look at that report going forward, they’re talking about like a 5% CAGR over the next five years or so after this. So, I do think we’re going to have a couple of bumpy quarters as you’ve heard from many of our competitors kind of said the same thing. But we think the second half will come back. And I think that’s a combination of the inventory adjustments, people shipping out what we have plus the funnel that we have for the balance that will help us with our bounce back.
Victor Chiu: Okay. Great. That’s helpful. And just on the OWN segment. Can you help us think about the shift to Open RAN in the U.S. and Europe? Have you guys considered how that affects the OWN segment, if you kind of built any of that into your assumptions?
Chuck Treadway: I would say related to Open RAN, we are supportive of our customer base wherever they want to work with – with that technology. We are working together with them. But I would say we’re not seeing that much in terms of our plans. We’re looking at more passive antennas, our MOSAIC product, the refresh that they have going on in their networks and how we support the lower frequencies. We are positive about what’s going to happen in the rural areas. We think that there’s a larger chance for us to do with [indiscernible], which would be also positive for us versus the massive MIMO everywhere. So that’s also a positive thing for us.
Victor Chiu: Great. That’s helpful. I’ll get back in the queue. Thank you.
Operator: One moment for our next question. Our next question comes from Steven Fox with Fox Advisors. Your line is open. 
Steven Fox: Hi, good morning. A couple of questions from me, if I could. First off, Chuck, given the recessionary environment you’re describing, can you talk about competition, how it’s impacting pricing and maybe smaller competitors that may have may be struggling to make it to the other side of this downturn?
Chuck Treadway: Yes. I would say up to this point, I think we’re all looking at the situation as we – as you just heard, one of the questions we got asked what’s going on with incoming material cost and those are flat. I think our customers understand our volume situation. So we’re not getting that much on pricing pressure. I think what I would hope is that we all work together through this downtime and behave appropriately. I would say we need to work together. I’d say small firms out there right now. I think they’re going to be in a much – much deeper and more challenging situation than us. But I think what we all have to do is hold together right now and get through this.
Steven Fox: That’s helpful. And then just in terms of the cash flows going forward, I know you’re not providing guidance, but like anything else you can add from a color standpoint, depending on what we all come up with EBITDA, what else you think you can do to just sort of generate cash flows from a working capital standpoint and also from an active production standpoint? Any more mothballing of facilities for a time being, things that could layoffs, et cetera, anything else that you would consider doing just to sort of preserve the balance sheet? Thanks. 
Kyle Lorentzen: Yes. I think on the cash side, we’ve talked a little bit about the fact that we as a result of some of the challenges we go to 2022 with supply. We’re holding a little bit more inventory than we would like to, although with the demand continuing to sort of push out, it’s a little bit harder to monetize that. But I think as we think about areas of opportunity, I think inventory is a place that we feel like there’s some opportunity; so I think that’s definitely an area. I think as we think about the cost side of our business, we’re talking about implementing this $100 million plan I think that sort of goes across the organization as to where we’re going to get that $100 million from. And as you would expect, just not just because of our current situation and the demand profile, it just ongoing. I mean, I think we’re always looking for opportunities to optimize. And that’s just that’s across all of our functional areas, including operations.
Steven Fox: That’s helpful. Thank you. 
Operator: One moment for our next question. Our next question comes from Meta Marshall with Morgan Stanley. Your line is open. 
Meta Marshall: Great. Thanks. I know the question has been asked in a variety of different ways. But you guys have just kind of undergone a pretty decent overhaul of the portfolio, whether it be MOSAIC or some of the work that you guys have done on RUCKUS and the ANS portfolio. So just where do you feel like the share gain opportunities are the greatest as demand comes back? And then just maybe a second question – just in terms of what understanding kind of how you’ve laid out about OWN and ANS looking or seeing CCS and some signs of kind of demand improvement or early signs of demand improvement. But just any context in terms of – is that largely at the edge? Or just like where within the network, you were seeing that kind of uptick within those business areas? Thanks. 
Chuck Treadway: Thanks, Meta. where I think we have the most opportunity for share gain, I would say, would be with our NICS business. I mean, we came back with the – we just launched our Wi-Fi 7, we’re the first to market with that product. And I think that’s going to be very well received, already is. We’ve already won orders in that space. And I think when markets come back, I think that’s going to be very positive for us. As you mentioned, the second one, I would say is ANS, where we have revamped, as you mentioned, we have revamped our product family to be one of the leaders on the edge or the leader at the edge of the networks. And I do believe our customers are leaning forward with upgrades, and we have the products for them. And so I think that’s going to be a nice opportunity for us, especially products like FDX and our virtual CMTS as we talked about before. With CCS, I believe what happened there is we were ahead of the curve. We put the capacity in place in 2021 and 2022. And I believe we have gained share in that space. I think we have given some back but I don’t believe we’ve lost any share there. But I do think that when the markets come back, all the capacity we put in place, we’re going to be very well positioned for that. And also, in our BDCC business, which is our structured cable business. We’ve revamped SYSTIMAX. We now have our SYSTIMAX 2.0 we’re going to be launching a product every quarter. And we’re seeing really positive feedback from our customer based on that. And of course, what’s going on with hyperscalers and GenAI, our product families there are also very positively being very positively received in the marketplace. So when you think about OWN, I think we have pretty strong market share positions in North America already. I think our opportunity there is what can we do outside of North America and then we also are seeing some pretty good traction on people looking at our MOSAIC product line. So that would be – those would be the things that I see to kind of address your question.
Meta Marshall: Great. Thank you. 
Operator: And I’m not showing any further questions at this time. I’d like to turn the call back over to Chuck Treadway for any closing remarks.
Chuck Treadway: Yes. I’d like to thank you for your time today and for your support of CommScope. I’d like you to have a great rest of your week. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today’s presentation. You may now disconnect, and have a wonderful day.